Operator: Good morning, everyone and welcome to Grupo Televisa's First Quarter 2022 Conference Call. Before we begin, I would like to draw your attention to the press release, which explains the use of forward-looking statements and applies to everything we discuss in today's call and in the earnings release. I will now turn the call over to Mr. Alfonso de Angoitia, Co-Chief Executive Officer of Grupo Televisa. Please go ahead, sir.
Alfonso de Angoitia: Thank you, Manuel. Good morning, everyone, and thank you for joining us. With me today are Jose Antonio Gonzalez, CEO of Cable, Luis Malvido, CEO of Sky, and Carlos Phillips, CFO at Grupo Televisa. While the macroeconomic environment remains volatile, we're confident that we will deliver solid operating performance at both Grupo Televisa and Televisa Univision throughout the year. Mexico's GDP growth is expected to slow to around 2% in 2022 from 4.8% last year.  In addition, high inflation has proved more persistent than initially expected as headline inflation remains above 7%. This coupled with the expected monetary policy tightening at the Fed will keep pushing Bank of Mexico towards further policy rate increases throughout the year. On a more positive note, consumption has been recovering since last year due to record high remittances of around $52 billion, an increase of approximately 27% year-on-year and that have remained strong in January and February growing by about 22%. Also after more than two years, social distancing measures related to COVID-19 continued to decline allowing us to operate under normal circumstances. Despite the expected economic slowdown, we are confident that we will deliver strong revenue growth at Televisa Univision and improving operating performance at Grupo Televisa throughout the year. Still, it's important to highlight that we expect growth in 2022 to be back-end loaded (ph), both at Televisa Univision and Grupo Televisa driven by several factors such as the midterm elections in the United States, increased advertising spending in Mexico due to the Qatar World Cup during the fourth quarter, the monetization of the World Cup rights. Solid RGU net adds in the reminder of the year at Cable and price increases at Sky. Before reviewing Grupo Televisa's operating and financial performance, let me walk you through the Televisa Univision, strong first-quarter results released yesterday morning after having successfully closed our transformative merger by the end of January. Building on our 2021 success and incredible momentum going into 2022, Televisa Univision delivered an outstanding inaugural quarter. Assuming the merger was affected for the full-year -- for the full quarter and sorry, Televisa Univision performance revenue reached $1 billion representing year-on-year growth of 12%, while EBITDA reached almost $400 million equivalent to a year-on-year increase of 7%.  Revenue growth at Televisa Univision was mostly driven by strong increases in consolidated advertising and subscription and licensing revenue of 12% and 14% respectively. Advertising revenue in Mexico increased at a solid pace during the first quarter and we expect growth to accelerate by the end of the year due to the World Cup transmission. EBITDA growth was softer than that of revenue mostly due to our investments in our streaming business that were fully funded by the strong growth in sales. Moving on to the performance. Our content in the U.S. Univision's prime time audiences increased by 9% year-on-year during the first quarter of 2022, outperforming all other U.S. networks regardless of language. This contributed to take our share of prime time audiences in the United States up to 6.5% during the first quarter from 5.5% during the same period of last year. Moreover, our share of Spanish language prime time viewing rose 430 basis points to 63.6%. In Mexico, our free to air television prime time audiences increased by 13% year-on-year beating our closest competitor in Mexico by 115%. In the first quarter prime time audiences at our flagship channel [Indiscernible] increased by 25% year-on-year, and the top 20 programs on Mexico's broadcast television were produced and transmitted by us. Also, we broadcast the top 10 most watched soccer matches for the quarter in Mexico. While our linear business continues to deliver great success and outperforming the market, we could not be more excited about our streaming business and the enormous progress we have made over the last 12 months. April 1st marked another milestone for our streaming business with the launch of our completely redesigned and enhanced AVOD service; ViX, featuring the world's most extensive Spanish language video offering with over a 100 channels, video on demand, and over 40,000 hours of content in its first year, including our classic novelas, megatrix, news content, soccer, and new and exclusive original program. We've always been viewed our streaming product as a natural complement to our linear business and an opportunity to broaden our reach across the Spanish language entertainment space. Streaming allows us to optimize across an entire volume spectrum and provide multiple entry points for viewing, beyond that, our traditional linear business. Our underlying economic model is materially different than the English language segment particularly as it pertains to customer acquisition and content investments. Across the U.S. and Mexico, we have an unrivaled reach of more than a 100 million Spanish speakers every day. This provides an enormous marketing platform for our streaming business that is efficient, cost effective, and can't be replicated. Our content model is equally differentiated. Beyond having the largest Spanish library in the world, we have a content production engine in-house to drive our streaming business which we can scale across at most 600 million Spanish speakers. We are consistently recalibrating our content model to strike the optimal balance between appointment viewing such as our industry-leading software offering and our demand-driven content. Combined, these economic linchpins provide a clear and accelerated path to value creation. While this is new for us, streaming is not Televisa Univision launched its legacy streaming services. [Indiscernible] and [Indiscernible] last year. This was essentially a great debt test for ViX we learned a lot from it. We learn how to sell at some streaming and how to program, all of which has been incorporated into ViX launch. We also learned a lot about the underlying technology infrastructure. Our new platform build with our strategic partner on Google Cloud launched successfully. Moreover, we were able to migrate our legacy users into ViX, making the better worthwhile in many ways. On the Cable side we are seeing substantially success with our streaming ad sales efforts on on-boarding new strategies, only advertising while selling big into our linear Ad buyers. Total advertisers on the platform increased by 38% or 130 while 50% on linear and average basis making buys along with strong participation from upfront buyers last year. Pricing trends remain equally impressive with ViX generating significant premiums to the linear market and sell out rates above 90%. In a month of March delivered our best ad sales performance yet up almost 30% against the next highest month as we continue to gain traction in the marketplace and look to further accelerate with the launch of ViX. We look forward to continuing to capture this momentum throughout the rest of 2022 and as our upfront approaches in May. Our learnings for Ofende (ph) and ViX have served us well, and we gear up to launch our worldwide service ViX plus in the second half of this year. We've been investing in the breadth of new content that is incredibly compelling, and we're really excited about the prospects of ViX plus. We have longstanding relationships with distributors across the United States and Mexico that will allow us to bundle ViX plus across cable and wireless providers. So our streaming portfolio will be fully complete and very well-positioned to capture this massive global streaming opportunity. Overall, we've seen terrific quarter to kick off a year, and we're just getting started. We couldn't be more excited from the coming quarters with a combined team at Televisa Univision, who have been working together and tirelessly from day one of our merger to deliver this level of outstanding performance and positioning us for further success going forward. As we said before, we're uniquely prepared to maximize the opportunity we have ahead of us and we have already started to deliver on it. It's the opportunity that comes from tapping into a big, growing audience that's feeling its strides and driving progress. Our initiative -- our initial results look like nothing else in media. We have become the fastest growing large media company and there is no better evidence of the power of our combined teams and assets than our newly launched global streaming platform, ViX. First quarter results at Televisa Univision put us on track to achieve similar performer revenue growth to that of 2021 which is 15% year-over-year growth and we had flat EBITDA of around $1.65 billion given the investments required to launch and promote our global streaming platform, again ViX. Moving onto Grupo Televisa's pro forma, consolidated financial results for the quarter, consolidated revenue reached Mex$18.6 billion [Indiscernible] representing year-on-year growth of 3.3%, while our operating segment income reached Mex$7.2 billion, equivalent to a year-on-year increase of 3.4%. Revenue growth at our MSO business multiple service operators operations in Cable, and our other businesses segment was particularly better, was partially offset by declining revenue at our enterprise operations in Cable and Sky. But now -- and I feel confident that consolidated revenue growth will accelerate throughout the year. At Cable RGU, net adds accelerated from the second quarter in a row. And we expect that to remain solid over the coming quarters. This should continue to gradually improved revenue growth at our MSO operations. Furthermore, over the coming quarters, we expect to sign new contracts. Our enterprise operations, allowing us to keep this revenue flat to slightly up for the full-year. At Sky, price increases implemented in the month of March, and the phase-out of relatively strong recharge rates are prepaid packages, over the first eight months of 2021 should allow us to gradually reduce the base of revenue decline, potentially stabilizing this revenue by the end of the year. Now, let me turn the call over to Prep Antonio, our CEO at Cable.
Antonio Gonzalez: Thank you very much, Alfonso. During the first quarter of 2022, our cable segment saw a continuation of the important turnaround in operating metrics experienced in the fourth quarter of 2021. We have obtained a strong performance foothold for two quarters in a row now. In terms of net app, the first quarter at 319,006 revenue generating units and 17,000 mobile RGUs. It was the strongest quarter since the peak of the pandemic in the second and third quarters of 2020, and the highest since 2018, excluding the two quarters of the pandemic. The quarter closed with 14.9 million total RGUs, 14.76 and 170,000 mobile RGUs. The result was largely driven by the realignment of some of our flagship products, the resumption of our customer retention programs, as well as the home pass expansion plan we implemented last year. Our residential segment keep growing due to our higher levels of sales cable turn and improved product mix. In video, we confirmed the turnaround experience in the fourth quarter of 2021. We added 89,000 video RGUs during the quarter because of our improved product mix from the product realignment. Today, 77% of sales are triple play. In broadband, we added 83,000 RGUs for a total of 5.7 million RGUs. Broadband continues to be the highest margin service we will continue to have as product offering. Now, for the financial metrics. During the first quarter, our residential segment grew 3.4% while our enterprise segment, which accounts for 13% of total Cable revenue, declined by 10.1% mainly due to tough comps and because in 2021, we concluded the development of a sizable project called Red Jalisco. As a reminder, Red Jalisco was a project developed for the Government of the State of Jalisco to build a fiber network owned by the State. Excluding Red Jalisco, our enterprise segment revenue grew by 7.4%. Nevertheless, we are looking for new projects to replace. Overall, our Cable segment delivered year-on-year revenue growth of 1.1% while operating segment income increased 3%. Again, and I want to emphasize this part, if we were to exclude Red Jalisco, revenue would increase 3.5% and operating segment would have increased 6%. Moreover, we expect the strong operating metrics result to translate into stronger financial results later in the year. Before turning the call back to Alfonso, let me say that we are confident that the expansion to selective locations last year should allow us to keep delivering solid RGU net asset over the coming quarters.
Alfonso de Angoitia: T [Indiscernible] Antonio, great results. Now, let me turn the call over to Luis Malvido, who has been at the job as CEO of Sky for a 108 days.
Luis Malvido: Okay. You're very nice, Alfonso. As Alfonso said, I've been in the job for few tens of days now, and it is my first quarter as CEO at Sky and also my sixth role as CEO in 500 throughout 25 years in Latin America and Europe. I landed in Mexico and the first day of January and I was pleasantly surprise for this coverage company with many thanks. And it's the brand will know are under globe, the largest is probably base scattered throughout the vast territory of Mexico and Central America. A great portfolio of products, including the most affordable and leading prepaid entertainment platform, and an extensive library of exclusive content. Also advantage in very professional salesforce and a highly motivated and committed team. Happy with my findings during this first quarter, we started to build on our strength. We refreshed the leading team to be ready to face the new challenges ahead. We are in the process of restructuring our sales channels compensations to better align their incentives with our incentives. We are also launching a new entry level postpaid package with which we expect to improve the quality of our sales. In addition, during the first quarter we secure the exclusive rights of several relevance soccer properties, including exclusive rights for the Spanish La Liga and Copa del Rey, exclusive rights for all UEFA national teams tournaments and exclusive rights for the Bundesliga. Sky also have the most comprehensive coverage of the FIFA World Cup, Qatar 2022 at the end of the year, including a large number of exclusive gains and features. This drives will further enhance Sky position as the ultimate sports provider in Mexico. During the third quarter, we also launched several promotions and commercial initiatives for both prepaid and postpaid products that allow us to revert the negative trend in video gross ads. On the prepaid side, the initiative with the biggest impact was the elimination of a subscription fee in January. On postpaid, also in January, we launched an attractive promotion and we are developing a new end pre -level single and double-play eight products, Sky Silver, that will be launched later this quarter. In addition, on March 1st, we launched a 14-day recharge package, and shifted all our advertising strategy towards increased in recharges and enhancing customers ' retention. On the other hand, we increased prices in prepaid to keep up with inflation. So far, customers adoption of these price increase as been positive. As a result, we reverted the negative trend in prepaid top-line, and we expect prepaid revenues to increase in the following quarter. In broadband, we've seen a deceleration in addition due to several factors, first, a delay in coverage expansion of all-time, second, signals of networks saturation in certain area, both factors due to our current financial struggles, and third, price increase in broadband that we implemented in February, pass-through of the wholesale price increase in [Indiscernible] time. As a result, we lost 8,000 broadband RGUs during the quarter reaching a total rate of 719,000. Regarding our mobile service, we're working on improving our product and plan to relaunch the service later in the year with valuable exclusive benefits for our video customers will increase stickiness, and also low acquisition costs. On the cancellation side we experienced an increase in the third quarter as a result of pandemic activation and low quality acquisition during the last year second half. All together, we lost a 175,000 RGUs during the quarter. In terms of our financial performance compared to the same quarter last year, revenue declined 6.2% driven primarily by lower prepaid recharge due to the decline in [Indiscernible] climate related to the pandemic. As a direct result, operating segment income fell by 13.6% year-on-year due to the refer lower revenues. Looking ahead, we expect second quarter revenues to increase on a sequential basis driven primarily by -- as I had mentioned earlier, by higher revenues in our prepaid products. Before turning back to Alfonso, I would like to add that we are developing a long-term plan to improve our product portfolio, customer experience, and in-selling capabilities that will allow Sky to better protecting its customer base and compete in the new highly competitive telecom and media landscape. We look forward to sharing these plans with you over the coming quarters. Thank you Luis. To wrap up, Bernardo and I are very optimistic about our growth prospects for 2022. At TelevisaUnivision the very strong upfront already announced both in Mexico and in the United States, new licensing contracts with regional [Indiscernible] in the United States, also the Qatar World Cup and the successful launch of our global streaming platform should allow us to deliver double-digit revenue growth for the second consecutive year. And Grupo Televisa, the ongoing strong RGU net adds momentum should contribute to gradually accelerate revenue growth over the coming quarters. Now, we are ready to take your questions. Raul, could you please provide the instructions
Operator: Yes, sir. [Operator Instructions]. Your first question is from the line of David Joyce from Barclays. Your line is now open.
David Joyce: Thank you very much. Two questions, please. First for Luis, I appreciate your -- all of the actions that you've made so far in adjusting packages and pricing and that you've got more plans that you want avail in the future. But for now, could you help us understand where the loss of subscribers is coming from? Is it more from something seasonal or are they going to other satellite or are they going to Cable in particular to this other Televisa entities? Just wondering what the trends are on the subscribers there. And then secondly, on Cable for Pepe, where you've been building out into new areas and upgrading, what is the ARPU experience been like first versus your legacy subscriberset? Thank you very much.
Alfonso de Angoitia: Thank you, David, for your questions I'll ask Luis, to answer the first one Prep Antonio can take the second.
Luis Malvido: Thank you for the question. Our gross us are coming both from prepaid and postpaid. Of course prepaid represents over 85% of our assets in video. And this is typically the biggest figuring in our growth. We are declining in growth and acquisition because of the refinance already explain, of course, not having new areas worth to sell our [Indiscernible] can grow that has been a challenge for us, and this is assets as explained coming from the lack of investment in town. And we are positive on [Indiscernible] and to solve their financial struggles and study this and again in the second half of the year, but this is something we need to prove to be true. As said most of our gross asset coming from prepaid and we're working heavily in improving the quality of those sales in order to stop the revolve and go that is inclined for us, a big acquisition costs that implied around 22% of our revenue every year. And this is a huge opportunity for us to save money in acquisition and put that money into [Indiscernible] value or different kind of transformation in the company.
Alfonso de Angoitia: Thank you, Luis. And I would add that absolute traditional subscribers that Sky 's have, of course, those are challenged by triple-play offerings that are meeting in essence by cable and telco providers. And as to the lower tier package, which is measured basically in terms of recharges every month or half a month that depends highly on the economy. So that is -- the larger package the best that they're offering is the most cost efficient entertainment offering that exists in Mexico for the Mexican families. So that is being challenged basically in terms of the recharges by the economy itself. And for your second question, Antonio, can take it.
Antonio Gonzalez: Thank you. Thank you very much for your question, David. The output is about the same to slightly higher than the rest of the country, and let me try to explain why. In the new areas where we have expanded, we're expanding with fiber to the home. So the survey -- the service we're providing is a higher quality, so we are able to slightly increase it. At the same time, these are very competitive markets we're entering, so our pricing on our products have to remain very competitive so we can increase our preference there. So the answer to your question is very similar to the rest of the country with applied margin upwards. Thank you very much.
David Joyce: Thank you very much for the color.
Operator: Your next question is from the line of Marcelo Santos from J.P. Morgan. Your line is now open.
Marcelo Santos: Hi, good morning. Thanks for taking my questions. The first question is if you could please comment on the competitive environment in Mexican broadband and if that is putting pressure on your ARPUs? And the second question would -- if you could, does the weak results on the Netflix, do they impact management thinking on best view of the opportunity? Thank you.
Alfonso de Angoitia: Thank you, Marcelo for your question. Of course, there is a competitive environment in Cable in Mexico and I'll ask Antonio to expand on this. But what we can say is that the capital investments that we made in the previous years have us -- put us in a very competitive precision in terms of having a great network, a reliable network, various service and good products with packages that Antonio and the team have been working on the packages and the pricing. So we believe that, of course, it is competitive, but we're seeing with different products and different pricing depending on the region, depending on competitiveness in each of those places. We believe that we are gaining traction. The net adds that we experienced in this quarter were great. We feel comfortable in saying that this pace will continue. So even though there's, of course, a lot of competition we feel comfortable in saying that. And I'll ask Antonio to expand on that.
Antonio Gonzalez: Thank you Alfonso. Well, I think as Alfonso said, I mean, we feel very comfortable that the [Indiscernible] has invested heavily in the last few years. So today, we have a reliable, a very reliable network. Our customer experience is very well rated and the realignment of our products in the last few months has made us very competitive. The market is, as has been said, relatively gaining competitiveness but we're not seeing any effects on our ARPUs. We are well placed and we have two good results in a row, two good quarters results in a row and we expect this level to be sustainable somewhere in between the last quarter and this one, closer to this one. So I think things are looking good and we feel comfortable with the position we are in. Thank you very much for your question Mr. Marcelo.
Alfonso de Angoitia: Marcelo, to your second question about Netflix and what has happened in that sector. I guess what has happened to Netflix in the quarter on the validates what we're doing as ViX Television Univision. What we can say as we have announced, we're going to have hybrid product, which is basically going to include an AVOD product, ViX, and a subscription product ViX plus. This hybrid product is going to include linear channels and it's going to include sports, basically, soccer, and more specifically, Mexican Soccer targeting the U.S Hispanic market in Mexico. So we can see contrary to fix that, we only launched and ViX plus, which is a subscription services which we will launch in the second-half of the year. We think Netflix with 222 million subscribers worldwide we've seen a more mature phase. So the markets that we're targeting still have low penetration of all of these services. And we're talking about our niche -- the Spanish-speaking world, The addressable market as we have been mentioning is 600 million people around the world with a combined GDP of $7 trillion. But more importantly, half of that GDP $3.5 trillion dollars is the U.S. expanding market in Mexico. So we're going to focus exclusively on the Spanish-speaking world, which as I mentioned, is low, it's not penetrated with this type of services. And we have many advantages in doing that. Talking about the [Indiscernible] selling, basically advertising on that platform, I can say that we have the largest advertising sales force targeting the Spanish language speaking content market, both in Mexico and the United States which account for over 50% of our total addressable market. So that is to say that we have been selling advertising for 60 years and we got the best teams both in Mexico and in the U.S. Moreover, we have the largest Spanish language content factory in the world, which is based in Mexico City, and where we can produce premium content in a cost-effective way. I have mentioned we have the largest library of Spanish speaking content in the world with 300,000 hours. We have assembled the greatest IP in Spanish in the world. We have major sporting events for [Indiscernible] and to target our quarter markets. So we have put together all that and we believe that our target is going to be that niche, the Spanish-speaking world. Netflix is fighting [Indiscernible] in all the markets in a 180 countries, all languages, etc. If Netflix launches another product it's going to distract them and it will take some time to put together a salesforce etc. So I think we have an advantage here and we're going to focus a 100% of our attention, laser-focused on the Spanish language market. So I think this validates what we're doing. As I mentioned, having a hybrid platform with an AVOD and SVOD type of distribution system and we feel confident in selling advertising for the AVOD platform and selling subscriptions in our markets on ViX plus.
Marcelo Santos: Perfect. Thank you very much for the comprehensive answers.
Operator: Your next question is from the line of Leonardo Olmos from UBS. Your line is still open.
Leonardo Olmos: Hi, good morning, everyone. My question is, if its supported to understand Televisa Univision margins, if you should you prefer to talk only about the Mexican [Indiscernible]. How do you expect margins -- how did margins perform at [Indiscernible] first [Indiscernible] into what no longer be slowed? And how we expect it to performing the remaining to [Indiscernible]. And Moreover, for what will be normalized in level of margins for both Mexican and new subscribers of Televisa Univision?
Alfonso de Angoitia: Thank you, Leonardo, for your question. We're not talking anymore about margins of each market. What I can tell you is that margins of TelevisaUnivision as a whole should be in line with 2021. So the margins should be around 40%. Of course, we have EBITDA losses because of our investments in the streaming business. But the beauty of this combination of Televisa and Univision is that our traditional business continues to grow double digit and continues to basically generate this EBITDA and this margins and that allows us to finance our investments in streaming basically with that EBITDA that we're generating. So we expect double-digit revenue growth because of what -- the upfront sales in Mexico and in the United States. Just keep in mind and I can mention again that we have a historic upfront in both the United States and Mexico. In Mexico, we grew up our upfront by 14% versus 2021, which is a historical number, also in terms of the number of clients that joined the upfront plan. So we can expect double-digit revenue growth. However, for TelevisaUnivision as a whole, and because of our investments in streaming platforms, we expect EBITDA to be flat to slightly higher than 2021. In the medium-term, our streaming platform should achieve low-to-mid 30s margin.
Leonardo Olmos: Yes. Thank you. Just a quick follow up. You mentioned are out 40% margins going into of flattish purchase 21. But now in the end it set mid 30, and I'm not sure how to look at [Indiscernible]
Alfonso de Angoitia: I mean, there's value for traditional media and the other one is for streaming. But basically, we expect TelevisaUnivision as a whole to have a consolidated margin of around 40%.
Leonardo Olmos: Okay. Thank you. Very good. Thank you very much. Have a good day.
Alfonso de Angoitia: Thank you.
Operator: Your next question is from the line of Soomit Datta from New Street Research, your line is still open.
Soomit Datta: Hi guys, two or three quick questions. Sorry, just to go back to the content profitability, just get a little bit lost in some of those numbers. do you mind confirm just what the proforma full-year 2021 EBITDA was for TelevisaUnivision, please? And the again, I was a little bit confused I'm not sure whether EBITDA is projected to be flat in full-Year 2022, or whether indeed the multi-room is expected to be flat. Obviously, given the growth you've talked about double-digit than not quite consistent. I'm sorry. Do you mind just clarifying them -- clarifying that, please?
Alfonso de Angoitia: Thank you. Soomit. Yes. The consolidated pro forma EBITDA for Televisa Univision in 2021 was $1.65 billion. And we believe that this EBITDA at Televisa Univision will be flat in 2022, even after all investments that we're making in our streaming platform, both on developing the technology and the product itself and the investments in content for that -- those platforms.
Soomit Datta: Okay, that's great. Thank you. Secondly, just only on the ViX launch, which I realized hasn't been for very long, has been in the market for almost a month. Can you give any senses to the number of users that that business was born with? What sort of trends you've seen in the brief period of time it's been in the market? Again, any sort of interesting developments in the U.S. versus Mexico versus the rest of Latin America which you've seen so far would be would be super-interesting. I don't suppose we'll get any stare on where that kind of usage number could go but anything you could give in terms of outlook would be super helpful as well. Thank you.
Alfonso de Angoitia: Let me give you some color. We're not disclosing yet the specific numbers. However, I can tell you that we're very happy with the progress we're seeing. Of course, these are early stages but in terms of unique users of the platform both daily and monthly, we're very happy with the progress in the U.S., in Mexico, and Latin -- and the Latin American rollout. So it is working, the content is working, the platform is working. We're very happy with what we're seeing. Basically, that's what I can tell you Soomit. Also in terms of -- because of the content that we have, the channels that we have included and all the preview and content offering that we're having, the engagement continues to grow day-after-day. So basically a little color, we had the draw of the Qatar World Cup special event on ViX and it was extremely successful and that helped us grow the user base.
Soomit Datta: Okay, thank you.
Operator: Your last question is from the line of Matthew Harrigan from Benchmark. Your line's now open.
Matthew Harrigan: Thank you for taking my question. I'm sure you know that few hours ago that Comcast and Charter formed a streaming initiative in the U.S. and really violating the tenet of not going outside your service territory. It feels like it's more of a Roku 4K alternative than anything else. But are you likely to provide programming for that notwithstanding Comcast's ownership of Telemundo? And then secondly, with all dislocations in the equity markets right now, you're one of the top five VC companies in Mexico. Does that really present opportunities for you or do you think that given everything you're likely to be pretty constrained in some of the -- in trying to replicate some of the past successful investments you've made on the venture side in Mexico? Thank you.
Alfonso de Angoitia: Thank you, Matthew, as to your first question, of course. I mean, we will expand our distribution of the big service with anyone that is interested in distributing. These, you have seen, of course, the Cable companies in the United States have become aggregators, streaming services, enough content. So anybody that is interested in reaching our distribution deal with us in terms of distributing ViX is welcome. And can you repeat your second question, please? I didn't hear it. Clearly.
Matthew Harrigan: Sure, clearly the capital markets are very out of whack right now and you've been very active and the BC market in Mexico, and even the U.S adjust to a certain extent. How do you feel about the possibilities now that everyone is so confused on the economy, and maybe capital is now as readily available from partners that you've worked with in the past? Whether it be [Indiscernible] or someone else? Thank you.
Alfonso de Angoitia: Thank you, Matthew. I guess you're referring to the venture capital alarm that we started in late 2019?
Matthew Harrigan: Exactly.
Alfonso de Angoitia: Yeah. That has been really successful for us and basically that model implies exchanging available advertising time slots for equity space. And basically this is with high growth startups or B2C companies that have not had the opportunity to advertise on free-to-air television and our other distribution platforms and advertising platforms. So in essence, what we're doing with select companies based on their potential, all these have been early stages of development and usually companies that need campaigns to position their brands and to position their products.  So there we're taking advantage of inventory, unsold inventory, in terms of free-to-air television and other advertising platforms. So that has allowed these companies to position their brands as top of mind. And basically, we have great success stories using this mechanism. So we made investments in Kavak, in Rappi, in Clip, in Uala among others and we did this hand in hand with SouthBank and General Atlantic as partners. So in essence, we have closed eight investments in seven companies and four of those stuff become unicorn. So we're very happy with what we're seeing. I've talked to each and every one of the founders of the companies and they are extremely happy and excited about advertising on over their television. To tell you the truth, when this started, most of them did not foresee the effect that advertising and over their television was going to cost in terms of their brands, brand positioning and sale of their products. But they have come back -- these companies have come back to expand their advertising with us. So we have developed new clients and in the meantime, we have also invested in the equity of these companies that have become great company. So we're planning to continue to do this as part of our venture capital line, and this will continue to grow. I think it's a great opportunity for us both in Mexico and in the United States now through Univision.
Matthew Harrigan: Thank you. Looks an excited a year ahead. Congratulations.
Alfonso de Angoitia: Thank you.
Operator: That concludes our can anybody today, presenters, please go ahead.
Alfonso de Angoitia: Well, thank you very much for participating in our call and we'll be ready to take any additional questions by phone. Lisa, give any of us a call if you want to get more information about anything that you are interested in. So thank you very much.
Operator: This concludes today's conference call. Thank you for attending. You may now disconnect.